Operator: Greetings and welcome to the Oshkosh Corporation fiscal year 2010 first quarter financial results conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you. Mr Davidson, you may begin.
Pat Davidson: Thank you Melissa. Good morning and thank you for joining us today. Earlier today, we published our first quarter results for fiscal 2010. A copy of the release is available on our Web site at www.oshkoshcorporation.com. Today’s call is being webcast and is accompanied by a slide presentation, which is also available on our Web site. The audio replay and slide presentation will be available on our Web site for approximately 12 months. Please refer now to slide 2of that presentation. Our remarks that follow including answers to your questions include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others matters that we have described in our Form 8K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly conference call, if at all. We completed the sale of our European fire apparatus business, BAI, in our first fiscal quarter. Results for BAI are presented as a discontinued operation. Also in the first quarter, we recorded pretax, non-cash impairment charges of $23.3 million related to goodwill and other long-lived assets at our mobile medical business in the fire & emergency segment. All sales, income and backlog figures that we discuss today refer to continuing operations and exclude the non-cash impairment charges unless otherwise stated. Presenting today for Oshkosh Corporation will be Bob Bohn, our Chairman and Chief Executive Officer; Charlie Szews, President and Chief Operating Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Let’s begin by turning to slide 3 and I will turn it over to you Bob.
Bob Bohn: Thank you Pat. Good morning and thank you all for joining us today. We have started off on a high note with a very strong quarter led by our defense segment. As most of you know, we have been very busy building and delivering MRAP All Terrain Vehicles (M-ATV) for the United States government. Our employees working on this program have continued the strong track record of performance that we began in July of last year when we started shipping these vehicles to the Department of Defense ahead of schedule. I am proud to report that we exceeded the delivery requirements for each month during the quarter, October, November and even the holiday-filled December as we at Oshkosh Corporation flexed our operational muscle. For the quarter, our sales increased 83% to $2.43 billion leading to operating income of $349 million and earnings per share of $2.10. These very strong results were due to outstanding performance in our defense segment and improved performance in our access equipment segment, which was largely the result of the M-ATV production for our defense segment. Sales in many of our other business units were either flat or lower as the weak economy and tight credit conditions continued to impact our customers. Lower sales in these businesses were not a surprise to us and should not be a surprise to those of you who follow us, as we have been discussing our view of the impact of the weak economic conditions on our businesses for the past year and a half. We also continued to generate strong cash flow again this quarter allowing us to reduce our debt by $182.5 million. Please turn to slide 4 for an assessment of current conditions. Last quarter we told you that we felt we were well positioned to heading into fiscal 2010 and we believe that even more now. We believe we have continued to maintain and increase share in most of our markets, and we successfully ramped up production of the M-ATV platform in a very short period of time with results that have exceeded our expectations. At this time, we received contracts for slightly more than 6,600 M-ATVs including orders for 1,400 units received during our first fiscal quarter. This quantity of units will keep our factories humming through mid May. We are waiting to hear if and when the DoD might order additional quantities of these life-saving vehicles to support the increase in troops in Afghanistan that President Obama announced in December. According to public comments by Secretary of Defense, Robert Gates, there is a need up to perhaps 4000 additional MRAPs and we believe that a portion of these vehicles could be Oshkosh M-ATVs. We have more than enough capacity to handle additional volume and we welcome the opportunity. We also believe that we could support any additional M-ATV orders and sustain delivery of all our existing product lines and potential future product lines such as the family of medium tactical vehicles the FMTV. In short, we have strong operations run by very hardworking and capable employees and we have all the confidence in the world in their ability to deliver. Speaking of the FMTV, we remain optimistic and expect that we will retain the contract we won in August pending the army’s re-evaluation of two minor protest issues that were upheld by the GAO in December. In fact, we are already beginning building test vehicles as well as preparing the foundation for the E-coat facility that we said we would need when we first submitted our proposal in the spring of last year. We continue to expect that most of the other markets in which we compete will remain weak in fiscal 2010, especially those with exposure to construction markets. As we have said before, we believe that we have reached the bottom in most of these markets. We have taken appropriate actions to reduce our cost and to be more responsive to customer demand in markets that can change very rapidly. Improving our cost structure and lowering our debt continue to be important to our success. The $182.5 million of debt reduction in the first quarter illustrates our commitment to delivering our balance sheet, which remains the top priority for our free cash flow. With that, I will turn it over to Charlie for a more detailed discussion by segment. Charlie?
Charlie Szews: Thanks Bob, please turn with me to slide 5. After a strong production ramp up in the fourth quarter of fiscal 2009, we really hit our stride and delivered more than 2,300 M-ATV units and all required spare parts kits to our DoD customer during the first quarter of fiscal 2010. As you probably know by now, we set high delivery targets for our M-ATV program ramping up production to 1000 units per month by December 2009. We achieved that goal in mid December and our employees were still able to spend some quality time with their families over the holidays. According to Secretary of Defense, Gates, who visited Oshkosh in November, the hard work and incredible efforts of our employees in Wisconsin and Pennsylvania supported by our supply chain partners have allowed us to ramp up this program faster and more effectively than any other major defense programs since World War II. We view it as our mission to deliver these vehicles quickly to our men and women serving in Afghanistan. In addition to our strong performance in the M-ATV program, we continue to meet or exceed requirements for our other vehicle and aftermarket parts and service programs for the Army and Marine Corps. These are often referred to as our base business, which is generally true. But I can assure you that we do not take anything for granted and we work hard everyday to deliver in our so-called base business. It is this focus and dedication that will help us as we expect to ramp up FMTV production late in fiscal 2010 and early 2011 if the FMTV contract award is upheld. While the GAOs did not completely reject the protest launched by the two losing bidders for the FMTV contract, we were happy to learn just how minor the two protest items were that GAO upheld. We believe the GAO undertook a thorough and objective review of the protest dismissing most of the arguments made by the protesting companies. We are waiting for the results of the Army’s review of the two items that GAO asked the Army to revisit but we expect to retain the contract that we won in August for the following reasons. First, we believe that our proposal represents the best overall value for the Army and provides significant savings for the US tax payers. Next, we have the proven manufacturing capacity and expertise to deliver the trucks and trailers that make up the FMTV program. We have demonstrated this operational capability by supplying more complex medium and heavy tactical wheeled vehicles to the Army, Marine Corps and international customers around the world, and most recently by our impressive ramp up of production to deliver M-ATVs to the Department of Defense for our war fighters in Afghanistan. Finally, our bid in the Army’s decision to select Oshkosh for the program are entirely consistent with the administration’s acquisition reform initiative as we won a competitively bid program against two other manufacturers. It would not surprise us to seeing increased instances of defense programs like the FMTV could offer bid in the future. In the meantime, as Bob said, we are continuing to prudently lean forward on this very important program, to sustain our original contract scheduled prior to the protest. If the FMTV contract award is upheld, we expect to meet or exceed the Army’s production requirements under the contract as we have the right technical expertise, manufacturing facilities, and experienced leadership to reinforce the Army’s decision in awarding the contract to us. To finish with sense, President Obama signed the 2010 Defense Bill into law in late December and we were happy to see additional funding for MRAP vehicles as well as solid finding as anticipated for both the Family of Heavy Tactical Vehicles and FMTV programs. Please turn to slide 6. End markets for our Access Equipment business remained weak across much of the world but we do believe they bottomed. Equipment utilization of rental rates remained weak and access to credit continued to be a challenge for our customers in this industry. Looking at the regions of the world, North America and Europe, Africa and the Middle East or EMEA has stabilized albeit at low levels while we are seeing more quoting activity and potential buying interest in Asia, Australia, South America, North Africa, and parts of the Middle East. We continue to reduce our inventory in this segment during the quarter and we have reached a point where we have recently started recalling additional employees to produce models where inventory has decreased to levels no longer sufficient to meet customer demand. We talked quite a bit about the tremendous job that JLG is doing as they leveraged their available capacity to meet the requirement of the M-ATV program. I cannot say enough about the hard work and outstanding result that we have seen at JLG as they assemble M-ATV crew capsules and also build about half of the complete vehicles. Much of the success comes as a result of a constant communication between the two segments and they can-do attitude that permeates our operations as we work to deliver these life-saving vehicles. As you might expect, since we do not anticipate fiscal 2010 to be a year of substantial growth for JLG in the traditional Access Equipment business, we are maintaining our focus on cost containment and working capital reduction. The team is committed to operational excellence like all our segments and continues to drive manufacturing efficiencies in its core business. Please turn to slide 7 to discuss our Fire & Emergency segment. In the face of a weak municipal spending environment and lower sales as a result, Pierce’s fire apparatus business continued to perform well and gained a little share through September 30, 2009, the most recent quarter for which we have data. The market is very competitive as many manufacturers’ bid for sales, we would continue to succeed due to Pierce’s strong product line up, reputation for quality and reliability and superior dealer network. A number of new customers ordered Pierce’s products during the quarter including Houston, Texas; Quebec City, Canada; and an order for pumper units for Nanjing, China. These new customers and international sales are important as communities face lower tax receipts as well as lower State and Federal funding. Businesses like Pierce and Medtec, which are dependent on municipal spending, are likely to face markets that will remain weak through at least our fiscal 2010. Airport products comprised of heavy-duty snow removal equipment as well as Aircraft Rescue and Fire Fighting or ARF unit has continued to stay strong with new vehicle sales both domestically and internationally and has maintained a solid backlog. In particular, we experienced solid order flow from Asia and substantial quoting activity in South America. Across the rest of the segment, we still have several businesses that are feeling the effects of a weak economy and lack of credit availability. We have especially seen negative impacts in our mobile medical unit business in the last two years due to lower Medicare reimbursement rates, and recently concerns by customers about the impact of potential healthcare reform legislation caused mobile medical unit orders to fall in the first quarter. This caused us to revisit our outlook for the business and ultimately record impairment charges during the first quarter. Please turn to slide 8 for discussion of our Commercial segment. Concrete mixer markets in North America remained at extremely depressed levels. As we said in the last call, we think we are at a bottom. During the quarter however, we did see some signs of improvement in the form of increased quote activity, we have also experienced some encouraging signs internationally in Latin America and in the Middle East. We remain encouraged by refuse collection vehicle or RCV business, shipments for this business can be a little uneven due to the timing of vehicle purchases by the large national waste haulers, but overall it is a good business. We are the market leader in RCVs and expect to continue to service our private hauler and municipal customers to maintain our leadership position. Our commercial team has done a great job of taking our costs and running the business at above breakeven levels during a time of unprecedented weakness in the concrete mixer and batch plant markets. We also continued to leverage Iowa Mold Tooling’s manufacturing expertise to supply our defense segment with components for its line of heavy tactical vehicles. This is one more example of how we have been able to take advantage of capabilities across our company to help meet the demands of our customers. That is a brief overview of our operations, Dave, please take it from here.
Dave Sagehorn: Thanks Charlie, good morning everyone. Please turn to slide 9. Consolidated net sales of $2.43 billion for the first fiscal quarter were up 83.2% compared with the same quarter of last year due to a more than tripling of sales in our Defense segment as a result of significant M-ATV volume and higher FHTV and parts and service sales. Operating income increased substantially to $349 million or 14.3% of sales. Operating income margins were aided by significantly improved margins in our Defense segment as well as improved performance in our Access Equipment segment mostly due to M-ATV production for Defense. Earnings per share from continuing operations for the quarter was $2.10 compared with a loss of $0.16 during the first quarter of fiscal 2009. Earnings per share for the quarter was impacted by the improved performance in our defense and access equipment segments. Operating expenses and intersegment profit elimination were above prior year levels due primarily to higher share-based compensation expense and higher intersegment profit eliminations related to intercompany M-ATV sales. As Bob mentioned, we reduced our debt by $182.5 million in the quarter. Since June of 2008, we have reduced our debt by more than $1.1 billion as a result of strong free cash flow and net proceeds of $358 million from our August 2009 equity offering. We also ended the quarter with cash of $858.1 million. A significant portion of this cash is related to the timing of payments for M-ATVs and will ultimately be used to pay suppliers as we continue to produce these units. Let us take a look at each of the segments in detail. Please turn to slide 10. Defense segment sales were $1.86 billion for the first fiscal quarter, an increase of 242% compared with last year’s first fiscal quarter due to M-ATV shipments, continued strong demand for trucks under the FHTV program and higher parts and service sales. M-ATV related sales including parts and service were approximately $1.1 billion in the quarter as we ramped up production to 1,000 units per month in December. We expect M-ATV sales in the second quarter of fiscal 2010 to be above first quarter levels reflecting higher production levels for the fourth quarter. Operating income increased 361% to $339.7 million compared with $73.7 million in the prior year quarter. Operating income margins in the quarter increased to 18.3% compared with 13.6% in the first quarter of fiscal 2009. The improvement in margin over the prior year quarter was the result of a significantly higher volume, lower material costs, improved manufacturing efficiencies, and a better mix of parts and service business. Margins in the quarter were better than we had previously expected due to significantly better cost performance on the M-ATV program as well as improved performance on our FHTV program. Our supply team group was able to continue to lower material costs during the quarter and our manufacturing group continued to lower the hours it takes to manufacture an M-ATV while at the same time maintaining tight control on overhead spending. Backlog in this segment was $4.98 billion at the end of December 2009, up over 112% compared with December 31, 2008. The M-ATV program accounted for approximately $2.4 billion of the total backlog. Defense segment backlog also included the initial FMTV program delivery order that is currently under a stop work order as a result of the protests filed with the GAO related to this contract award. Please turn to slide 11. Access Equipment sales were $728 million in the first quarter, up 97.6% compared with the same period last year. This increase was driven entirely by intercompany M-ATV sales to the defense segment of approximately $528 million. Sales of traditional JLG access equipment were down approximately 60% compared with the prior year quarter as the first quarter of fiscal 2009 benefited from shipments from a strong backlog entering that quarter. And a change from the last several quarters, sales of telehandlers were down by a higher percentage than aerial work platforms. The segment recorded operating income of $13.5 million compared with an operating loss of $47 million in the prior year quarter. Operating income was driven by M-ATV sales to our Defense segment. Access Equipment segment margins on intercompany M-ATV sales in the quarter were in the mid single digit range. Operating results for JLG’s base business were improved over the prior year quarter on lower sales largely due to lower material costs, lower bad debt, and restructuring charges and the benefit of cost reduction initiatives implemented in fiscal 2009. Backlog for Access Equipment was $102.8 million at December 31, 2009 a decline of 40.2% compared with December 31, 2008. Backlog at December 31, 2009 reflected continued weakness in the Access Equipment market and does not contain any M-ATV related products. Please turn to slide 12. Turning to Fire & Emergency, sales in the first fiscal quarter declined 5.5% to $250.9 million compared with the prior year’s first fiscal quarter. The decline in sales was primarily due to lower sales at our Pierce fire apparatus business as a result of the continuing decline in municipal budgets in the US and at our mobile medical business, which offset a solid increase in sales for the airport products group. The segment recorded operating income of $21.1 million compared with operating income of $19.3 million in the prior year quarter. Operating income margins in this segment increased to 8.4% compared with 7.3% in the prior year quarter as Pierce and airport products comprised a larger percentage of segment sales in the current year quarter. These two businesses have historically had the highest operating income margins in this segment. Operating income margins in this segment also benefitted from lower material costs. As Charlie mentioned earlier, we did record $23.3 million of non-cash impairment charges in the quarter at our Oshkosh Specialty Vehicles subsidiary, which includes our mobile medical business. Significantly reduced orders in the first quarter as a result of customer concerns about the impact of potential healthcare reform legislation on the mobile medical industry led us to conclude that performing an interim impairment test was the right thing to do. The operating income numbers I noted earlier for this segment exclude the impairment charges. Compared with December 31, 2008, Fire & Emergency backlog was down 19.8% at December 31, 2009 mainly due to lower municipal spending as a result of the weak economy. Please turn to slide 13. Commercial sales decreased 14.1% to $155.1 million compared with last year’s first fiscal quarter. The decrease in sales was a result of continued weakness in the concrete mixer market and a very tough comparison against strong first quarter RCV sales in fiscal 2009. We recorded operating income of $3.1 million or 2% of sales for this segment in the first fiscal quarter compared with $0.6 million or 0.4% of sales in the prior year quarter. Margins in the quarter benefited from intercompany manufacturing activity and the benefits of cost reduction actions implemented in fiscal 2009. Backlog for the commercial segment at December 31, 2009 was $81.2 million, down 19.3% compared with December 31. 2008. The low backlog reflects continued weakness in concrete mixers and batch plants and the timing of refuse collection vehicle orders from several large waste haulers that are expected to be received in upcoming quarters. Please turn to slide 14 for a qualitative update to our outlook for fiscal 2010 starting with Defense. Since our last quarterly conference call, we received orders for 1,400 additional M-ATVs. We have now received orders for a total of 6,619 units of which we have shipped 2,544 through the end of the first quarter of fiscal 2010. We are ready and able to support orders for any additional M-ATVs that maybe awarded to us as well as additional spare parts that may be ordered. A production ramp up has been executed very well and that is reflected in our strong operating income margin for this segment. Our current M-ATV backlog will take scheduled production of these vehicles into May 2010. As Bob and Charlie mentioned earlier, we expect to retain the FMTV contract and are moving forward with prudent investments and activities to support that program. As a reminder, assuming the FMTV contract is upheld, the FMTV sales volumes are not scheduled to reach meaningful levels until our fiscal 2011. We now believe that fiscal 2010 operating income margins in our Defense segment will be higher than we previously expected due to better cost performance on the M-ATV and our other Defense programs as well as higher than expected M-ATV volume. The M-ATV programs progressed successfully at a very rapid pace and with significantly improved margins compared with the fourth quarter of fiscal 2009. As you might expect, there were and continued to be a lot of moving pieces on this program. We currently believe that operating income margins in this segment will be similar to first quarter margins while we are still producing M-ATVs before they decline later in the fiscal year as production levels for M-ATVs decrease. Last quarter we told you that we did not expect a significant change in the Access Equipment market until our fiscal 2011. That due point is largely unchanged. We also talked about our expectation net margins on JLG’s traditional access equipment business will improve in fiscal 2010 as we expect to benefit from lower charges for bad debt reserves and restructuring costs along with lower material costs. These expectations also remain largely unchanged. We currently believe that JLG will continue to benefit in fiscal 2010 from its M-ATV production in sales to our Defense segment at margins similar to those experienced in the first quarter. Second quarter M-ATV sales to our Defense segment are expected to increase from the first quarter as M-ATV production levels out during the second quarter. We still expect that sales in our Fire & Emergency segment will be lower in fiscal 2010 as a result of ongoing weakness in municipal order rates due to the impact of the recession on tax receipts. While we do not expect the decline in this segment to be anywhere near severe as what we experienced for our Access Equipment and commercial segments in fiscal 2009, there will likely be some choppiness between quarters due to the timing of orders and scheduled delivery dates for units. With expected lower sales volumes, we believe that there will be downward pressure on operating income margins in this segment compared with fiscal 2009. Our expectations for concrete mixers and batch plants remain similar to what they were last quarter. Specifically, we expect a soft fiscal 2010 but believe we could experience a modest pick up beginning later in the year. We still expect that our RCV sales will be flat to up modestly in fiscal 2010 in spite of lower first quarter sales due to the timing of deliveries for the national waste haulers. We now estimate that our tax rate will be between 35% and 36% and we are raising our capital spending estimate for fiscal 2010 to approximately $100 million. Capital expenditures this year are largely targeted for the FMTV program and our JLG manufacturing facility in China. Finally, we expect that we will continue to reduce our debt throughout the remainder of the fiscal year as a result of free cash flow from expected strong earnings. With that, I will turn it over to Bob to conclude our prepared remarks.
Bob Bohn: Thanks Dave. We just completed the first quarter of a new fiscal year at Oshkosh with very strong sales, earnings and debt reduction. We have a solid backlog in our Defense business allowing us to weather the economic storm affecting our construction equipment related businesses in the Access and the Commercial segments. We appear to have reached the bottom in many of our non-defense markets and are ready for the eventual turnaround with a more competitive cost structure and a continuing focus on delivering value to our customers. We expect that fiscal 2010 will be a very strong year for Oshkosh in terms of sales, operating income and earnings per share. It is our challenge to execute and we will because we have great people, great products and great opportunities to leverage our strength as we move into the new decade. We have said it before but it bears repeating. We believe that experience counts and it counts most when conditions are difficult as they have been over the past year or so. Our team at Oshkosh Corporation is working diligently and is ready to capitalize when market conditions improve. Thank you again for your continued interest and support in Oshkosh Corporation. With that, I will turn it back to Pat and the operator for questions. Again, thank you.
Pat Davidson: Thanks Bob. I would like to remind everyone to limit their questions to one plus a follow-up and please try to avoid questions with multiple subparts, as this makes it difficult to ensure that everyone has an opportunity to participate. After the follow-up, we ask that you get back in queue and ask additional questions. With that, I will turn it over to you Melissa to begin the question-and-answer period of this call.
Operator: Thank you. (Operator instructions) Gentlemen, our first question is from Chris Donahue of SunTrust Robinson Humphrey. Please proceed with your question.
Chris Donahue - SunTrust Robinson Humphrey: Hi, good morning. Great quarter, guys.
Bob Bohn: Good morning, Chris.
Chris Donahue - SunTrust Robinson Humphrey: Just a question on the FMTV program as we work through this protest, there has been some mention in the press about a proposed $750 million in funding for additional FMTVs in the overseas contingency operation fund, which would be a significant increase over what was in the baseline budget for FMTV. So at what point do you start to get concerned about your ability to ramp the production facilities, particularly if you are looking at significantly higher volume requirements in the first year of operations of the contract?
Charlie Szews: Chris, thanks for that question. We have plenty of production capacity by the time the FMTV production will start in the fall of 2010 assuming that the award to us is upheld. We will not be producing M-ATVs and volume will have significant capacity to deploy, I think the Army has seen what we are able to do with the M-ATV ramp up and I am sure they are very confident, just like we are that we could handle any production requirements that they give us.
Bob Bohn: We cannot wait to get the FMTV Chris because it will probably be the easiest truck we have ever filled.
Chris Donahue - SunTrust Robinson Humphrey: Sounds great. So, at this point, I just want to make sure I do not forget to ask this part, the $750 million in the OCO would more than likely go to Oshkosh assuming the Army retains the contract with you guys.
Bob Bohn: We would believe so but obviously time has to bear out and we think this will be – we are going to be hearing soon, certainly the Army has the responsibility to respond back to GAO in the middle of February and we are poised to move forward. We started work on our E-coat facility, we are on schedule to deliver the E-coat equipment to our plants. We are building test vehicles who are really scheduled and ready to go.
Chris Donahue - SunTrust Robinson Humphrey: Okay great, thanks again, good quarter guys.
Operator: Thank you. Our next question is from Andrew Obin with Merrill Lynch. Please proceed with your question.
Andrew Obin - Merrill Lynch: Yes, just to confirm on the M-ATV in terms of how the program accounting works, so the margins in the quarter are (inaudible) it is not like we are going to reverse some of these gains in the second quarter, right, in the second calendar quarter going into May.
Bob Bohn: No, this is not a percentage of completion type program if that is what you are referring to.
Andrew Obin - Merrill Lynch: So the margins – all I am saying is the margins are sustainable into the next quarter out.
Bob Bohn: What we said is we believe that we would have margins similar to the first quarter margins as long as we are producing at full rate production of the M-ATVs.
Andrew Obin - Merrill Lynch: Okay and just to switch to access equipment in terms of thinking of the dynamic of the purchasing decisions by your customer base, the usual pattern is you order the stuff in the spring, so if things are down right now, does it mean that we have to pretty much now have to wait until 2011 for your customer base to make that decision?
Charlie Szews: I think you describe the order clearance kind of simplistically, it depends where we are in the cycle. If it is really a robust period of the cycle, our customers start ordering in June and July for the next spring. So, it really depends where you are since all the manufacturers have plenty of capacity right now, our customers understand that they can order later and the market is down pretty dramatically. So, what we would say is that customers can come in today and give us an order and we can quickly deliver. Having said all that, we would expect certainly in North America and Europe that we are looking at flattish to maybe modestly up in 2010 and we are not going to really see any significant improvement probably until 2011, some customers are talking about the second-half of calendar 2010 being better. I think that all said we really do not know where this is headed in terms of strong direction. So I think we are flattish to maybe up a little bit, other parts of the world we are seeing a little bit more growth.
Andrew Obin - Merrill Lynch: But we could get earlier indication from your customer base during the summer. So we do not necessarily have to wait until the late fall to really figure out what has happened with our customer base, they could respond earlier.
Charlie Szews: They could but more likely than not. We are hoping 2011 would be a stronger year. Today we would not suggest that it is going to be so strong that they are going to be ordering in June, July. I think it is going to be the point of cycle where some are going to start talking to us in fourth calendar quarter about orders for the spring.
Andrew Obin - Merrill Lynch: Great quarter, thank you very much.
Operator: Thank you. Our next question is from Alex Blanton with Ingalls & Snyder. Please proceed with your question.
Alex Blanton - Ingalls & Snyder: Thank you, can you hear me?
Bob Bohn: Yes, we hear you.
Alex Blanton - Ingalls & Snyder: Okay. First on the M-ATV, the incremental margins were obviously much higher than you had forecast. You had forecast that they will be in line with the average in the year that just passed which was 15.5%. Now, if I take $1.1 billion for M-ATV sales in the first quarter and assign a 17% margin to the rest of the business, that gives me an incremental margin on the M-ATV on the $1.1 billion of 19%, a little bit more than 19%, is that a reasonable number to use, 19%, 20% margin on the M-ATV business?
Bob Bohn: Alex, I think you are a little high. I think in general we said that obviously we had the improved results on M-ATV but we also mentioned improved performance on the FHTV as well as our parts and service business. So not all of it is attributable to the M-ATV programs.
Alex Blanton - Ingalls & Snyder: So you had 18.3% total.
Bob Bohn: Right.
Alex Blanton - Ingalls & Snyder: Is it roughly the same for both the M-ATV and the rest?
Bob Bohn: They are similar.
Alex Blanton - Ingalls & Snyder: Similar, okay, that is a very good clarification. Now, a couple of other minor points, on the Access Equipment – first, I wanted to ask you, everything that was shipped on the M-ATV order for the quarter, was that all recorded in sales actually or how many units were recorded in sales, I should say?
Charlie Szews: In our prepared remarks Alex we mentioned that just over 2,300 trucks were shipped and recorded in sales in the quarter.
Alex Blanton - Ingalls & Snyder: They were also recorded in sales because I understood at one point that not all of the shipments would be recorded as sales.
Charlie Szews: Any shipment to the joint program office was a sale. We had some shipments in the quarter ended September as well. So by the end of December, we were over 2,500 units shipped.
Alex Blanton - Ingalls & Snyder: Okay and finally on the Access Equipment you said base access equipment sales were down 60%, but if I take the number here for intercompany, subtract it out, the remainder is only down 46%/ What am I missing?
Charlie Szews: Yes Alex, we should probably clarify that, the 60% is for new equipment, the strength that the JLG based business including parts and service business, you are right, was down about 45%.
Alex Blanton - Ingalls & Snyder: New equipment, what do you mean?
Charlie Szews: New machinery, excluding parts and service.
Alex Blanton - Ingalls & Snyder: Excluding the parts and service, okay, right, thank you.
Operator: Thank you. Our next question is from David Raso with ISI Group. Please proceed with your question.
David Raso - ISI Group: Yes, I am not sure if this was just addressed but I have a clarification first and maybe I am just calculating incorrectly but the percentages in the backlog year over year looked to be incorrect except for the Defense which also gets calculated correctly. For example, just take the numbers as presented, the backlog is down and is at 26% year over year, not 40% as per the slide. So again, please verify if I am missing something before I ask my question
Bob Bohn: David in the prior year for JLG, we did not include military telehandlers in the backlog. So the 40% is an apples to apples.
David Raso - ISI Group: Okay, so you will provide the real state of the backlog with it.
Bob Bohn: Yes, 10-Q will have that information in it.
David Raso - ISI Group: Okay. My question relates to profitability at Access especially speaking sequentially, sequentially, if you exclude the M-ATV activity it looks like the loss was reduced by over $30 million sequentially, can you provide a little more color on how much of that is lower bad debt sequentially, how much restructuring and maybe any other color you can provide. As you know, the sales for core access actually declined sequentially, so it was (inaudible) trying to get a read on how soon can this business go profitable if you can take out $30 million sequentially even on down revenues.
Dave Sagehorn: First off David, I think the $30 million is a little too high on that. We gave a range on the M-ATV margins, it is probably a little higher than you may be thinking there.
David Raso - ISI Group: It is more like high single digits than mid.
Bob Bohn: Well, the worst thing high is your $35 million is high and having to sell – if you assume it is a lower number sequentially improvement, Dave, why don’t you –
Dave Sagehorn: Yes, I can run the numbers.
Bob Bohn: Okay we had a few things at play in the quarter sequentially. We had some better performance from a warranty standpoint. We had some inventory reserves that we took in the fourth quarter of fiscal 2009 that did not recur this time. We did have better material performance.
David Raso - ISI Group: Can you quantify any of these? I am just trying to understand the run rate of this business, how abnormal was the back part of fiscal ’09, did you have these costs which as you were already saying maybe already that they were coming back down, again the idea is when can I begin to model access at a profitable level at M-ATV?
Dave Sagehorn: There are a lot of items at play here, nothing really stands out as being the significant driver in terms of the performance. What we have said in the past is obviously we need to have sales above the 200 run rate a quarter to be profitable, but I think we are definitely well on our way towards improved profitability in this business.
Charlie Szews: Yes, Dave maybe you can clarify a little bit, in fiscal 2010 it is hard for us right now to envision us being profitable without the M-ATV.
David Raso - ISI Group: For all of 2010 or every single quarter of 2010? I am just trying to get a feel --
Charlie Szews: Right now, for every quarter in 2010 it would be very difficult for us to be profitable unless the market pick up, as volumes start to improve, we are doing $300 million or more whatever in the quarter --
Dave Sagehorn: The run rate for revenues, we need at least $1.2 billion or more at a minimum to think of these core businesses as being profitable.
Bob Bohn: Yes, we cannot get real specific but it has got to go north from where it is now.
David Raso - ISI Group: Okay, I appreciate it, thank you.
Operator: Thank you. Our next question is from Walter Liptak with Barrington Research. Please proceed with your question.
Walter Liptak - Barrington Research: Thanks, good morning guys, congratulations on a great quarter too. My question is on M-ATV, is it possible to break out the trucks’ sales as a percentage and part sales?
Dave Sagehorn: You mean out of the total M-ATV sales?
Walter Liptak - Barrington Research: Yes, right.
Dave Sagehorn: The vast majority I think 90% plus was trucks in the quarter of the $1.1 billion.
Bob Bohn: Our big spare parts kits deliveries commence really in January, the other parts business growth that we had in the current quarter related to our TAK-4 independent suspension sales for other OEM MRAP vehicles.
Walter Liptak - Barrington Research: Okay. Are margins on parts generally better than on trucks? So if your mix is improving in the next quarter, margins and military would be improving.
Bob Bohn: It depends on whether it is proprietary part or a third-party part, so it really does depend on the mix.
Walter Liptak - Barrington Research: Okay thanks. I guess that was the follow-up to the second, any guidance on what you think you can get your debt load down to by year-end or a cash flow number for 2010?
Bob Bohn: We are obviously pleased with what we were able to deliver in the first quarter and expect that we will continue to reduce our debt through the remainder of the fiscal year but we are not going to provide a numerical number.
Walter Liptak - Barrington Research: Okay, got it, thanks.
Operator: Thank you. Our next question is from Jerry Revich with Goldman Sachs. Please proceed with your question.
Jerry Revich - Goldman Sachs: Good morning and thank you for getting the vehicles out ahead of schedule. I am wondering if you can talk about now that the M-ATVs have been out on the field, what kind of engineering enhancement changes are you seeing in the military requests, and if you cannot discuss specifics, can you please share the incremental content per unit that you might be seeing.
Charlie Szews: Jerry, right now we are building a base configuration and that is all we are going to be building probably for the duration here. Obviously there is always opportunities down the line to do retrofits or to insert technological improvements into the vehicles, but right now the Joint Program Office would really like to get these vehicles very quickly into theatre for the troops and to introduce a lot of changes at this point really slows that process up. So I think for the near term it is probably [ph] a base configuration.
Jerry Revich - Goldman Sachs: Thanks Charlie and can you talk about the range of additional M-ATV vehicles that your customers are considering in that 4000 unit mix, we saw senate armed service committee request that seemed to point to a very high mix of M-ATVs and I am wondering if you are seeing similar signals.
Charlie Szews: We do not want to speak for our customer but certainly we have heard and read reports that there could be additional M-ATVs in the mix here. We have also heard that there could be additional MRAP 1 vehicles in the mix, the quantities are still I think pretty tightly held and are under consideration. So we do not really have a lot more we can tell you than that.
Jerry Revich - Goldman Sachs: When would you need to receive additional M-ATV orders to keep your suppliers producing on schedule?
Charlie Szews: Well, quickly.
Jerry Revich - Goldman Sachs: Is that a three-month lead time relative to how much order visibility you have, is that a reasonable way of thinking about it?
Charlie Szews: No, I think generally lead times in certain of the larger components are longer than that.
Jerry Revich - Goldman Sachs: Thank you.
Operator: Thank you. Our next question is from Steve Volkmann with Jefferies & Company. Please proceed with your question.
Steve Volkmann - Jefferies & Company: Good morning guys, just a couple of quick follow-ups and I apologize if I missed it somewhere but you talked about Access Equipment getting to the point where you are increasing your production because inventory levels are low, have you told us how much you underproduced by and I guess I am just trying to figure out how much it could be up just on the absence of inventory liquidation [ph].
Dave Sagehorn: We underproduced in our first fiscal quarter to retail by about 15%.
Steve Volkmann - Jefferies & Company: Okay. So is it okay to think about volumes potentially being up 15% on a flat end-market environment or is that not right?
Dave Sagehorn: It is not going to translate to sales. What it could do is improve absorption.
Steve Volkmann - Jefferies & Company: Okay, great. Then just related or unrelated maybe, how should I think about the cash flow as you ramp down, assuming you ramp down on M-ATV and then ramp up on FMTV, will there be a big cash liquidation on M-ATV or is that not right?
Dave Sagehorn: We did end the quarter with a significant amount of cash on the balance sheet and that largely will be used to pay suppliers under the M-ATV program as we go through the year here. On the FMTV in terms of the ramp up on that, we would be seeking to have a similar program with performance based payments on that program and in the event that we were able to achieve that we should not see overall significant working capital drain.
Steve Volkmann - Jefferies & Company: Okay, great, thanks for that.
Operator: Thank you. Our next question is from Steve Barger with Keybanc Capital Markets. Please proceed with your question.
Steve Barger - Keybanc Capital Markets: Good morning.
Bob Bohn: Good morning.
Steve Barger - Keybanc Capital Markets: Given the level of – this is a JLG question, given the level of relatively new machines out there in the channel, are your conversations with customers or dealers suggesting that the order draught could extend well into 2010 or kind of how they are thinking about the utilization rate and pricing out there right now?
Charlie Szews: No I think they are all still concerned. From what we can gather, most of our customers are still in the, like you said earlier, looking at sort of flattish kind of purchases with 2009, here and there you will find some opportunities for some modest growth with some of our customer base but there is nothing really robust going on in North America or Europe right now. I think all of our customer base is hoping that by the time we came to the second half of calendar 2010 that there is going to be a pick-up in the market. I think as a general world economy we would all hope that. So we are right there with our customer base hoping but there is nothing that tells us that can confirm that this is going to happen.
Steve Barger - Keybanc Capital Markets: Okay and M-ATV question, we have read that there could be some headroom in the additional 4,000 units, are you hearing anything similar from your contacts in the DoD or the customer and do you think that could result in the break in the supply chain if they try and figure out what the demand is going to be in Afghanistan as they get the vehicles in the theatre.
Charlie Szews: I think that – obviously they could go higher than 4,000, they could buy less than 4,000, we are not privy to those discussions. It is very much going to be lead by the commanders (inaudible) that are on the ground seeing what the demands are. We still need to get a lot of troops there. The commanders need to see the capability of the M-ATV in theater and I think all of those things are ultimately – and then the commanders are going to need to see how the nature of the conflict changes with more troops on the ground. So all of that will determine the demand, and I think it is premature for really any of us to ascertain what that demand will be.
Steve Barger - Keybanc Capital Markets: Okay thanks.
Bob Bohn: Thanks Steve.
Operator: Thank you. Our next question is from Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook - Credit Suisse: Good morning and congratulations. Just the first question, can you guys quantify what the benefit was for material costs in the quarter and with segments saw the biggest benefit and how we think about material costs, what you are sort of assuming for the year is my first question, then I have a follow-up?
Charlie Szews: To start with, the biggest benefit of material cost was clearly on our Defense segment. It does not come close to anywhere else was very significant, largely related to M-ATV. We certainly had a lot of savings on the M-ATV program in terms of material cost but they translated into the rest of our Defense business as well because as we increased our volumes on similar components, we started to get a bleeding effect into the rest of our heavy businesses I suppose. Overall, we have got a really strong supply chain team. They are very focused on delivering value, so I do think we saw benefits pretty much across the company as well and we are in the hope that benefits will continue – we cannot deliver all we did this past quarter on a continuing basis but we did see benefits really across the company as well.
Jamie Cook - Credit Suisse: Okay, but I mean is there any way to think about – when I think about the margin improvement, I guess my concern is we are sort of eluding that margins in the Defense business you can say at least you are producing he M-ATV which is (inaudible) and then we could get more orders on top of that, I am just trying to figure out how big the material cost benefit was because it seems like that should have a head win as we progress throughout the year, I guess that is my concern. And then just follow-up Charlie, how are you guys thinking about tire 4 communicating to your customers and are they talking at all about (inaudible)?
Charlie Szews: Okay, let me – on the pre-buy for tire 4, I do not see any significant discussion or any discussion about pre-buy for tire 4.
Jamie Cook - Credit Suisse: Have you communicated the cost increase, are they aware of it yet.
Charlie Szews: No, we have not communicated yet.
Jamie Cook - Credit Suisse: Okay, and then Charlie, I am just trying to get comfortable with material costs now becoming more of a head wind and did that possibly dilute the margin?
Charlie Szews: Let us put this, when we put together a budget for material cost, certainly we tried to read the (inaudible) what could happen to steel costs and commodity costs as the year progresses. Right now, our estimates are tracking forward very closely. So we expect some really modest slight increases whatever you want to call it as the year progresses in our base kind of commodity cost but nothing real significant. That is not going to be a big head wind in any of our segments as the year progresses, at least that is our perspective of what is going to happen. And the material costs that we have achieved on the M-ATV and some of these Defense programs, I think we are going to sustain them, we will certainly sustain them through the production of the M-ATV.
Jamie Cook - Credit Suisse: Okay and just to be clear because on the Defense side I am not so familiar, do you have inflation indexes on the – on M-ATVs if they were to increase, do you have to take the hit or do you get to pass that along.
Bob Bohn: We have to take the hit.
Jamie Cook - Credit Suisse: You have to take the hit. Okay, great, I can follow-up offline, congratulations.
Bob Bohn: Thank you.
Operator: Thank you. Our next question is from Robert McCarthy of Robert W Baird. Please proceed with your question.
Robert McCarthy - Robert W Baird: Good morning everybody, can you hear me?
Bob Bohn: Yes.
Robert McCarthy - Robert W Baird: Great. The first thing I wanted to ask you about is this somewhat cryptic remark that is included in your prepared remarks Charlie, in talking about the GAO in the protest on the FMTV, you made a comment you would not be surprised to see increased instances of Defense programs put up within the future. Is this your way of letting the market know that FHTV is likely to fall into that category as well?
Charlie Szews: Likely is a strong word, certainly with acquisition reform and the discussion that is going on in DC that is always a possibility that the FHTV could go off for a bid and Marine program could go off for a bid. What is unique on the FMTV this was really a program that was very logical to go off for a bid. The customer owned the technical data package. They own the intellectual property around the FMTV. There are some pretty well documented difficulties with that program over the last 20 years. Last year, there were a couple of thousand vehicles behind schedule on deliveries and obviously the government got a big cost decrease. So that one was pretty right for bid. Where they proceed, we do not know, it is a possibility.
Robert McCarthy - Robert W Baird: Timing, remember when the current contract expires.
Bob Bohn: The contract itself Rob goes through October of 2011 with deliveries through September of 2012 I think.
Robert McCarthy - Robert W Baird: Okay, right. And then you have got a little bit of risk in your own internal forecast created by apparently ordered delays from the national waste haulers, could you talk about your conviction that it is not a reaction, the current events and cash flow considerations in that you really will see the orders.
Charlie Szews: To make it really simple, we saw the orders in January, so I think that we are okay.
Robert McCarthy - Robert W Baird: Thanks Charlie, good luck.
Operator: Thank you. Our next question is from Ann Duignan from JP Morgan. Please proceed with your question.
Ann Duignan - JP Morgan: Good morning guys, can you hear me okay?
Bob Bohn: Yes clearly.
Ann Duignan - JP Morgan: Okay. Most of my questions on MRAP on Defense business have been answered but I am just curious, Obama last night was very adamant that things are going to wind down quickly in Iraq. Are there any opportunities, more opportunities for you than you currently have from retrofitting other products or adopting products that are currently in Iraq or Afghanistan beyond the (inaudible)?
Charlie Szews: We are involved in a number of competitions globally, so I think that there is some international competitions that could create some volume. When there is ultimately a pull out of troops out of Afghanistan and Iraq, there is going to be a whole period of recapping the fleets that are brought out of Iraq and Afghanistan, so I think all of that will sustain some strong business for someone in over a period of time and certainly will compete for all of that.
Ann Duignan - JP Morgan: Which opportunities should we watch more closely? Which ones do you think have the greatest potential for you?
Charlie Szews: I prefer not to signal to a competitor exactly what we are going to be doing in competing and going forward but obviously we look to everyone else who looks to see in how we can serve the Army and the Marine Corps the best.
Ann Duignan - JP Morgan: One other question, you mentioned something I just wanted to make sure I understand correctly, you mentioned something I think that telehandlers were down more than arial work platforms in the quarter, can you just expand on that a little bit, is there any end markets in particular that drove that or did I just pick it up wrong?
Bob Bohn: No, you picked it up right. The last several quarters our AWPs have been down on a year-over-year percentage basis more than telehandlers. You saw the telehandlers turned down earlier. I guess one way you can look at it is that maybe the rate of decline in AWPs is leveling off, it has caught up but one quarter I do not know that we can read a lot into that. It is just something that was different from the last several quarters.
Ann Duignan - JP Morgan: That was more that arial work platforms leveled off as opposed to some things (inaudible) further in telehandlers, is that way to read it?
Bob Bohn: I think so but obviously we will have to continue to watch it over the next few quarters.
Ann Duignan - JP Morgan: Okay, I appreciate that. That’s it, I think any other details I will ask offline. Thanks.
Bob Bohn: Thank you.
Operator: Thank you. Our next question is from Charlie Brady with BMO Capital Markets. Please proceed with your question.
Charlie Brady - BMO Capital Markets: Thanks. With M-ATV with regards the recent parts order, $325 million or so parts order it essentially stocked the shelf, would you anticipate similar orders down the road sort of fill the shelves, obviously if stuff breaks you have to get more in there down the road but the initial fill or is that kind of done with these orders?
Charlie Szews: No, Charlie, it really depends if there are additional M-ATV production increase --
Charlie Brady - BMO Capital Markets: Given what has been awarded, the 6,619 that has been awarded already, assuming 4,000 out of it for now, would you anticipate more on that business that has been awarded?
Charlie Szews: I don’t know, could be but we really don’t know.
Charlie Brady - BMO Capital Markets: Okay and then a second question on the JLG business, you commented that you are going to focus on working capital, I guess I am just curious, you have given away inventory levels have been taken down and costs have already been taken out of that business, how much more really is there left to deal with that business given what has already been done over the past 12 months?
Dave Sagehorn: It is going to be tougher to squeeze additional working capital out of that business Charlie, but we want to make sure that we maintain the focus that we have had on working capital in that business over the past year to year and a half and again I don’t think it will be significant but there probably are still a few opportunities out there.
Charlie Brady - BMO Capital Markets: Okay, thank you.
Operator: Thank you. Our next question is from Ben Elias from Sterne, Agee & Leach. Please proceed with your question.
Pat Davidson: Melissa, this will be our last question as well please. Thanks.
Operator: Yes sir.
Ben Elias - Sterne, Agee & Leach: Thanks Pat. As usual, you cut me off last time but – my question is I read in the earnings release you did say the strong defense business was because of the M-ATV and you did disclose it was about 2,300 vehicles and about $1.1 billion. You also said that there were some strong FHTV business and some spare parts and services, now how many vehicles was that? What delivery order are we sort of looking at and what do we expect for the rest of the year because when I look at the schedule of the either the contract wins or delivery orders, it is sort of open ended on the (inaudible) and the FHTVs and there is not a lot that we can figure out that is for your second and third as well as fourth fiscal quarter this year besides the M-ATVs, so how do we go about building what order it is going to look like for the rest of the year?
Bob Bohn: Ben, if you look at the non M-ATV business in the first fiscal quarter, it was up about 40% year over year. I do not think we are going to be able to sustain those levels of improvements throughout the rest of the year but we do not have specific numbers that we are going to point you to.
Ben Elias - Sterne, Agee & Leach: Okay, second question is, I know I am the last person on the call here today, is regarding the cost containment strategies, you have been reducing cost across the other businesses, the commercial businesses, can you quantify to what extent you have lowered the breakeven points, what percentage of volume are you going from 50% to say 25% and then how do we think about that moving forward?
Bob Bohn: We have not provided that level of detail. What we did say last year is that we had identified $200 million of cost reductions let’s say roughly, we have dialed back on that somewhat as we have restored wage rates and eliminated fall outs [ph] at a number of our businesses and then with the ramp-up in defense, we are spending a little more than we were last year but overall I think we are still capturing a decent portion of that especially in those segments that have been more challenged in regards to the market conditions that they are facing.
Ben Elias - Sterne, Agee & Leach: Okay and the last one, what percentage of the M-ATV do you (inaudible) at the access equipment facilities?
Bob Bohn: In terms from a dollar standpoint it is somewhere in between the 35% and 45% of the total contract value.
Bob Bohn: Okay, thank you very much.
Operator: Thank you ladies and gentlemen, we are out of time for questions at this time. I would like to turn the floor back over to management for closing comments.
Bob Bohn: Okay. Thank you for your continued interest and support in our great company. We are going to continue to work hard. Charlie and his team on the M-ATV, these vehicles are critically needed as 30,000 additional troops go to Afghanistan. The early reports on this vehicle we are getting back are very good. We are going to continue to focus on paying down debt and to controlling our cost and we are ready to start building the FMTV when the light goes back on. Come join us next week at our Annual Shareholders Meeting, hopefully it gets up to 9 or 10 degrees. Thank you for your continued interest. Have a great day. Thank you Melissa.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.